Operator: Good morning, and thank you for attending today's PHX Minerals' June 30, 2024, Quarter End Earnings Conference Call. [Operator Instructions] As a reminder, this call is being recorded. I would now like to turn the call over to Stephen Lee with FNK IR. Please go ahead, sir.
Stephen Lee: Thank you, operator. Good morning, and thank you for joining us today to discuss PHX Minerals' June 30, 2024, quarterly results. Joining us on the call today are Chad Stephens, President and Chief Executive Officer; Ralph D'Amico, Executive Vice President and Chief Financial Officer; and Danielle Mezo, Vice President of Engineering. The earnings press release that was issued yesterday after the close is also posted on PHX Investor Relations website. Before I turn the call over to Chad, I would like to remind everyone that during today's call, including the Q&A session, management may make forward-looking statements regarding expected revenue, earnings, future plans, opportunities, and other expectation of the company. These estimates and other forward-looking statements involve known and unknown risks and uncertainties that may cause actual results to be materially different from those expressed or implied on the call. These risks are detailed in PHX Minerals' most recent annual report on Form 10-K, as such may be amended or supplemented by subsequent quarterly reports on Form 10-Q and other reports filed with the Securities and Exchange Commission. The statements made during this call are based upon information known to PHX as of today, August 8, 2024, and the company does not intend to update these forward-looking statements whether as a result of new information, future events, or otherwise, unless required by law. With that, I would like to turn the call over to Chad Stephens, PHX's Chief Executive Officer. Chad?
Chad Stephens: Thanks, Stephen, and thanks to all of you on this call for participating in PHX's June 30, 2024, quarter end earnings conference call. We appreciate your interest in the company. The macro environment in which we are operating continues to be challenging. Commodity prices remain suppressed. Total rig activity in the Lower 48 is down, especially in the natural gas basins, while the supply-demand fundamentals for both oil and gas appear to be nearing equilibrium. For natural gas, the pending demand for new LNG export facilities, as well as increased demand for natural gas to meet growing AI-generated power demand, is clearly on the horizon. This forecasted increase in demand provides optimism reflected in the natural gas NYMEX strip price contango, longer-dated prices higher than near-term prices. Even in the near-term rather challenging environment, which obviously includes the sudden onset of market volatility and interest rate uncertainty, PHX is achieving noticeable results. To put today's reported results in context, I would like to remind you that four years ago PHX's production volume and reserve mix was almost 70% non-op working interest and 30% royalty. Over the last four years, the company has divested of a material portion of its non-op working interest. Today that mix has flipped, with royalty volumes and reserves representing approximately 90% and non-op working interest about 10%. This has been consistent with our stated strategy to transition to a mineral-only focus, which we have regularly communicated to the market. As we divested of the non-op working interest, we redeployed the sale proceeds into minerals in our core focus areas. During this four-year transition, we were growing royalty volumes, achieving a CAGR for royalty volumes of almost 30%. But during this period of significant working interest divestiture, our total reported corporate volumes remain basically flat. Royalty volume growth offset by working interest divestiture. For this June 30 quarter, two things really stand out. Total corporate volumes are our highest quarterly volumes since Q2 of 2018, which reflects the successful replacement of the divested working interest volumes with high-quality, high-margin royalty interest volumes. Two, our continued steady annual royalty volume growth of that 30% I just spoke demonstrates the quality of minerals we have acquired that includes a deep inventory of undeveloped locations that are being actively developed and contributing to our annual volume growth. I call out Slides 13, 14, and 15 in our most recent IR slide deck that explains this development of our undeveloped inventory. The impressive quarter-over-sequential quarter volume growth of about 40% that we are reporting this quarter is in part due to high-interest, high-impact wells turned to sales in both the Haynesville and SCOOP of Oklahoma. Absent these somewhat anomalous wells, we would have still reported compelling double-digit percent quarter-over-quarter volume growth from development across our portfolio, reflecting the quality of our deep undeveloped location inventory I just mentioned. The challenging environment highlights the flexibility of our business model and the ability to quickly allocate more capital toward reducing debt. Since year-end 2023, the company has reduced debt from $32.75 million to $28.75 million, providing a strong leverage metric under $1.5 million, maintaining a strong balance sheet as a priority focus for us. Given the demonstrable value of our assets that we feel is not reflected in our stock price, every dollar of debt reduction should be a direct benefit to our equity value. This balance sheet focus includes an active hedging program to protect fixed costs and the ability to execute our annual budget. Ralph will provide more detail on hedges in a moment. We have also closed on approximately $3.5 million of mineral acquisitions year-to-date in both the SCOOP and Haynesville with several other opportunities currently being evaluated. Another highlight this quarter is the Board's decision to increase our dividend by a $0.01 a quarter or an annual increase of 33% to $0.16 per share. Since March 2020, we have now increased the dividend by 400%. This demonstrates the conviction management and the Board share in the ability to execute on our strategy and the quality of our existing assets, regardless of the macro environment. As Danielle will discuss in a moment, activity on and around our minerals continue to drive year-over-year steady volume growth. We are especially excited about the material increase in development activity we are witnessing in our Springboard III area of the SCOOP in Oklahoma. To recap this quarter's highlights, A, highest corporate volume since 2018, B, quarter-over-quarter royalty volume increase of 46%, reduced debt by $4 million or 12%, and increased dividend by 33%, which represents a 400% increase since March of 2020. At this point, I would like to turn the call over to Danielle to provide a quick operational overview and then Ralph to discuss the financials. Danielle?
Danielle Mezo: Thanks, Chad, and good morning to everyone participating on the call. For our quarter-ended June 30, 2024, total corporate production increased 40% from the quarter-ended March 31, 2024, to 2,968 Mmcfe. This represents the highest quarterly corporate production figure since the quarter-ended June 30, 2018. Royalty production for the quarter increased 46% to 2,709 Mmcfe compared to the prior sequential quarter, which is an all-time quarterly record for PHX. The volume increase during the quarter is primarily associated with several high-interest, high-impact Haynesville wells coming online. Recall that we mentioned during last quarter's call that we are expecting these wells to come online in the near term. While we have a number of other high-interest wells currently in the process of being developed, it is challenging to estimate first production to any specific quarter. It is important to note that as a mineral holder, we do not control timing on well development, so there can be some volatility, both up and down, on a quarter-to-quarter basis, and volumes associated with our business model are better evaluated on a rolling 12-month basis. Royalty volumes represented 91% of total production during our June 30, 2024 quarter. 83% of our quarter's production volumes were natural gas, which aligns with our long-term position that natural gas is the key transition fuel for a sustainable energy future. Oil represented 10% of production volumes, and NGL represented 7%. During Q2 2024, third-party operators active on our mineral acreage converted 55 gross, or 0.4 net wells in progress, or WIP to producing wells, compared to 85 gross and 0.32 net in the prior sequential quarter. The higher net number compared to lower gross number reflects the high-interest Haynesville wells mentioned earlier converting to production. We are very pleased with our well conversion rates, particularly given the challenging natural gas macroenvironment, which includes some operators deferring bringing wells online until there is an improvement in natural gas prices. At the same time, our inventory of wells in progress on our minerals, which includes ducts, wells being drilled, and permits filed, remains strong, with 241 gross, or 0.927 net wells, compared to 230 gross, or 1.099 net, at the end of March 31, 2024. The continued track record of well conversions and replenishment of the inventory of wells in progress or WIP, reflects the high-quality portfolio of assets we have assembled to provide steady, sustainable growth, future growth. In addition to our WIPs, we regularly monitor third-party operator rig activities in our focus areas and observed 15 rigs present on PHX Minerals' acreage as of July 8, 2024. Additionally, we had 60 rigs active within 2.5 miles of PHX ownership. In summary, we continue to see steady development in both our legacy and recently acquired mineral assets, which should lead to annually increasing royalty volumes. Now I will turn the call back to Ralph to discuss financials.
Ralph D'Amico: Thanks, Danielle, and thanks for everybody for being on the call today. For the second quarter ended June 30, 2024, natural gas, oil, and NGL sales revenues increased 39% to $9.8 million, compared to the prior sequential quarter, due primarily to an increase in production volumes of 40%, and a decrease in realized prices of about 1% on an MCFE basis to $3.31 from $3.35 in Q1, 2024. Realized natural gas prices averaged for Q2, 2024 were $2.05 per Mcf compared to $2.10 in Q1, 2024. Realized oil prices averaged $77.38, up 2% from Q1, 2024, and NGL prices averaged $23.75, up 10% from Q1, 2024. Realized hedge gains for the quarter were $1.18 million, approximately 38% of our natural gas, 25% of our oil, and 0% of our NGL production volumes were hedged at average prices of $3.28 per Mcf and $73.29 per barrel. Most of these hedge contracts were added over the course of the last 24 months. We continue to be consistent with our hedge program and believe it is doing what it is meant to do, protect us on the downside. Approximately 42% of our anticipated full year 2024 natural gas production at the midpoint of our guidance has downside protection at approximately $3.34. On the oil side, approximately 35% of our anticipated production at the midpoint of our guidance has downside protection at approximately $65.48 per barrel. We structure our natural gas hedges using both swaps and costless collars, which means that we also have upside exposure on certain volumes to the $4 to $5 range, while still maintaining floors in the $3 or above range. Our current hedge position is available in our recently filed 10-Q, which also includes some additional hedges which we added during the quarter for the calendar 2025 period. Total production, or total transportation, gathering, and marketing fees increased 83% on a sequential quarterly basis to $1,540,000, primarily due to higher volumes coming on during the quarter. It is also important to note that a significant amount of those new volumes come from cost-bearing leases, which includes the mineral holder paying their proportionate share of the transportation, gathering, and marketing fees. Production and ad valorem taxes increased 52% on a sequential quarter-over-quarter basis to approximately $598,000 due to slightly higher prices and higher production volumes, primarily in Louisiana, where taxes are based on volumes and not on revenues. LOE associated with our legacy non-operated working interest wells decreased 11% on a sequential quarter basis to $294,000, primarily due to lower workover expenses. Cash G&A decreased 23% to $2.04 million compared to the prior sequential quarter, or cash G&A is typically higher in the first and fourth quarters, calendar quarters of the year, compared to the second and third quarters due to professional fees associated with items such as our 10-K and our shareholder meeting. Adjusted EBITDA was up $6.4 million in our Q2 2024 period compared to $4.6 million in Q1 2024. The increase in EBITDA, as discussed earlier, is due to higher production volumes, lower cash G&A, and the successful implementation of our hedging strategy offset by the higher transportation, gathering, and marketing expenses and production taxes associated with the new wells that are from cost-bearing leases coming online during the quarter. Net income for the quarter was $1.3 million, or $0.04 per diluted share. We had a total debt of $28.75 million as of June 30, 2024, down $4 million from the $32.75 million as of December 31, 2023. Our debt to trailing 12-month adjusted EBITDA was 1.32 times as of June 30, 2024. Much like last year, at this time when natural gas prices fell, our acquisition program remains disciplined, and if the deals in the marketplace do not generate a required return profile, we will not chase them. Also, it is important to note that we have an almost seven-year inventory of high-quality drilling locations, which means that we can continue to perform and grow production without chasing acquisitions that do not meet our underwriting criteria. We're happy to bill liquidity, pay down debt, and return capital to our shareholders through our quarterly dividend. With that, I would like to turn the call over to Chad for some final remarks.
Chad Stephens: Thank you, Ralph. We are very pleased with our achievements despite this challenging macro environment. The dramatic collapse in the natural gas prices in early 2023 and lingering at historic lows currently has had a material impact on natural gas-focused E&Ps development activities, especially in the Haynesville and Marcellus. As a mineral owner, we will also be impacted by this deferral. However, our business strategy is to acquire minerals in the core of our focus area with near-term development potential. This can be seen by our continued steady well conversions that supports our expected future multi-volume growth despite these various headwinds. As I stated a moment ago, we have created demonstrable value over the last four years that is not reflected in our stock price. I will continually stress this supported by the portfolio we have built of high-quality assets with improved cash margins, a mineral interest, and a deep inventory of undeveloped drilling locations which supply our well conversion and are categorized as probable reserves. This conversion rate, which Danielle discussed a moment ago and is explained in our IR slide presentation, has and will continue to drive increasing royalty volumes and cash flow over the next few years. As I did last quarter, I direct you to Slide 7 of our newly posted IR presentation that reflect a 2P PV-10 reserve value at current NYMEX strip prices of close to $300 million. This reserve value is validated by the independent technical work performed by our outside third-party engineering firm Cawley, Gillespie. If natural gas prices return to a more normal mid-price cycle and driven by the growing demand catalyst to which I earlier referred, that PV-10 value reflected on Slide 7 would be dramatically higher. We also show in the appendix of our IR presentation, the timing of the new LNG export capacity from the Gulf Coast, which we continually emphasize. Once in service, this will help bring natural gas prices into that mid-price to upper range and with increased operator activity, increase our royalty production volumes and cash flow. Since 2020 and to date, we have spent approaching $140 million acquiring a current mineral position in the SCOOP and Haynesville. PHX's current enterprise value is roughly $145 million with a PV-10 reserve value I mentioned earlier of around $300 million. We recognize this disconnect between these facts and our current stock price, which I continue to stress. We will work every day searching for the best way to reward our shareholders and close this gap. As always, I thank both our employees and Board of Directors for their dedication, and hard work. This concludes the prepared remarks portion of the call. Operator, please open up the queue for questions.
Operator: Thank you. [Operator Instructions] The first question is from Charles Meade with Johnson Rice. Please go ahead.
Charles Meade: Good morning, Chad. To you and Ralph, Danielle and the rest of the PHX team there.
Chad Stephens: Hi Charles.
Charles Meade: You guys, I think, are justifiably pleased with the way that 2Q turned out, especially, you know, you've mentioned that it's record production since 2Q '18. So, the role certainly went your way this quarter, if that's a workable metaphor. But what I'm curious about, is how much of an outlier is this quarter? I mean, you could frame it any way you want, but maybe, one way of thinking about it is this a, once in every four quarter kind of result or is this a once in every, 16 quarter kind of result? And I know you might not be able to precise there, but if you could just guide our interpretation of really this great quarterly result you've just put up.
Chad Stephens: Yes, I can say, Charles, that looking over the last four years and that compounded annual growth rate, royalty growth rate of close to 30% speaks to that pace of development that's feeding that growth. And that growth is coming from our undeveloped inventory of locations that are being developed quarter-over-quarter and year-over-year. So, what's happened in the past will continue to happen in the future, maybe not to the magnitude it was this particular quarter. But we are pleased with and will continue to see this steady quarter-over-quarter and year-over-year. It's focused on the royalty volume growth, not necessarily the corporate. I tried to differentiate between the two in my opening comments, but we're excited, obviously, about this outlying quarter. But we continue to see the pace of development that we've seen in the past going forward and we'll continue to see this similar quarter-over-quarter and year-over-year royalty volume growth. Ralph, you want to add to that?
Ralph D'Amico: Yes, I think that's well said. And the only thing I would add is that, obviously, there were some high-interest wells that came on during the quarter, but I don't believe that that's abnormal. It's a matter of when they come on. I mean we have, I think, as Danielle mentioned, we have several other high-interest wells, high-impact wells, similar to these that are in the process of being developed. Obviously, as we mentioned, we don't control timing, so it's hard to pinpoint what specific quarter, but there's no doubt that they're operator is spending money on similar wells to these on our minerals where we own similar percentages of the well as we speak here today. So, it's just a matter of time, and as we talked about, you kind of have to look at it over several quarters, not just at one particular point in time.
Charles Meade: Got it. Thank you for that. And then, if I could kind of maybe go further afield with my second question, stepping away from the Haynesville and the SCOOP, my understanding there's been an uptick in activity, from a lot of private operators in the Western Anadarko targeting the Cherokee Shale, and more recently, there's a public company made an acquisition in the Cherokee Shale. And then when I look at your Slide 5, it looks to me like you might have some exposure to that play. So could you kind of, quantify that or, maybe characterize what kind of activity you might be seeing around anything you hold up there?
Chad Stephens: Yes, we've watched that. We do have some legacy minerals out there, and as it's matured, as the play has matured and become de-risked. We've kind of done a little, kind of getting our toe in the water, so to speak, to test the waters to acquire some minerals, and it's gotten so, already so frothy out there that it just doesn't meet, it doesn't meet our economics. So, we've not had any real success in being able to acquire, consolidate some minerals out there, but it is a real play, yes. And it's, I think that acquisition speaks to the credibility and the validity of it, but it's already, from a mineral perspective, it's already gotten pretty frothy, so we're going to step back, and just kind of watch on the sidelines.
Ralph D'Amico: Yes, and yes, so we're not focused on acquiring additional minerals there, but we do have a substantial amount of minerals in that area. And we've seen a significant number of well development on certain sections that we own in, including some high interest sections where we had quite a few minerals. And we've also seen a step up in the leasing activity on our non-producing minerals in the area as well, so we're not adding to it, but you're correct, Charles, we have some good exposure to it, and we will certainly benefit from that additional industry activity there.
Charles Meade: Thank you. That'll be interesting to watch. Thank you for your answers.
Chad Stephens: Thanks, Charles.
Operator: Thank you. The next question is from Jeff Grampp with Alliance Global Partners. Please go ahead.
Jeff Grampp: Hi guys, thanks for the time. I'm curious if you guys could take out your crystal balls for me here. Obviously, the guide implies some declines in the back half of the year, which not at all surprising given what you guys reported here in Q2, but when do you guys think that potentially bottoms again? I know you kind of have to build back up that activity funnel, still at a solid level, but you've kind of been drawn down on it for a couple quarters. I mean, can the start of 2025 resume that sequential growth, or how do you guys potentially see the next several quarters playing out as best you can kind of see it today?
Chad Stephens: Ralph, why don't you start that answer?
Ralph D'Amico: Sure. So, yes, I mean, look, I mean, I think, as we look at the next 12 months, we continue to see activity. And while the wells in progress inventory got drawn down a little bit, I would say, again, it's one of those things where we use 630 data at one point in time. I would tell you that if you were to look at the number today, it's already higher, right. So, what that means is that the operators are continuing to permit new locations on our minerals, right? And they're continuing to convert, right? So, I think that even if we maintain the same pace over the next 12 months, maybe a little bit higher, as we've seen over the last several quarters, right? '25 should look better than '24 from a volume standpoint. Obviously, it's very dependent upon commodity prices, and what the operators decide to do, which we don't control, right? So, there's a big if there. But on what we see today, we're very optimistic that over several quarters, you're going to continue to see that upward trend.
Chad Stephens: And let's just remind, Jeff, just to remind you, over the last four years, as I was answering Charles' question, and as you talk about what we're thinking around 2025, all of this royalty volume growth, I highlight that word, is on top of what's kind of a corporate royalty decline rate for us - in excess of 25%. So, we're able to replace that decline rate and grow our royalty volume reserves, because of the quality of this inventory I keep kind of highlighting. Does that make sense?
Jeff Grampp: Yes, absolutely. And I understand there's no perfect answer there, but appreciate the details and thoughts. My follow-up is more on the modeling guidance side. You guys made some revisions on the GP&T guidance front. Is that something, it sounded like, Ralph, I think you hit on that that just kind of depends upon the structure, of these specific royalty assets that are driving production in any given quarter. Is there a way for us on the outside, to really take that into account or kind of get a handle on that as we kind of build our modeling? Or is this just something that's kind of idiosyncratic, depending upon any given quarter and kind of the makeup of the assets that kind of build up to that production?
Ralph D'Amico: Yes, it's perfectly imperfect in the sense that that's why we kind of give you a range, right? Because on any particular quarter, if you have two cost-free lease wells coming online instead of two, and I'm making up a number, two cost-bearing wells coming online, that number can shift one way or the other, right? Because particularly if they're high-interest wells. So clearly - some of these wells that came on are cost-bearing, and that's what drove those numbers. And they came online a little bit sooner than what we had expected, which is sort of driving us moving that number up, because more of the year will have the impact of having to pay those expenses from those additional volumes.
Jeff Grampp: Okay. Understood. That makes sense, and I appreciate the details. Thank you, guys.
Chad Stephens: Thanks, Jeff.
Operator: Thank you. The next question is from Donovan Schafer with Northland Capital Markets. Please go ahead.
Donovan Schafer: Hi, guys. Thanks for taking the question. So first I want to ask, you described the - and congratulations on the quarter. This is when you said - that you're going to return to growth now that you've completed this four-year transformation. You were not kidding, as this particular quarter shows. So well done there. But I want to say, you talk about the - there are some somewhat anomalous wells this quarter in the sense of being high-interest, but you also say high-impact. And is that just kind of like synonymous or saying because they're high-interest, it has a high impact on the financials, or was there some other attribute in the wells? I mean, were they unusually exceptionally prolific wells that just performed fantastically well? And you seemed to kind of know in advance. I mean, you would know that they were high-interest, but did you – were you able to anticipate that this was just like a really attractive area of Haynesville, and so you knew these were going to be some very juicy, prolific wells coming online, or did they just turn on...?
Ralph D'Amico: I think, Donovan, I think. The answer is, so the Haynesville wells, right, relative to wells in Oklahoma come in at a much higher rate. So if you have - and we had a combination of high interest wells in both places come online, right? But clearly, the Haynesville wells come in at a much higher rate than an Oklahoma well, right? And so, the more Haynesville wells you have come online relative to Oklahoma, the more impact you're going to have, right? So if I have - if this quarter, if you flip-flop it, right, and you had more Oklahoma wells versus Haynesville wells, the volume would have been a little bit lower, right? So that's the point that Chad was trying to make earlier that if you normalize that, sort of the high-impact part of it, right? And you try to normalize and sort of say, what would it be if it was sort of more evenly spread. You still would have seen the highest quarter since 2018 from a volume standpoint, and you still would have seen substantial growth on a sequential quarter basis. So it's -- that's what we mean by it. Depending on the location, you can have higher first 3 months of production versus other areas.
Donovan Schafer: Okay. That's helpful. And then kind of related to that, and I understand what you're saying with the Haynesville wells, they come on strong. And this kind of, I think, maybe ties a little bit to Jeff's question with like the guidance, the increase in the guidance, but then you've got these -- this quarter, some of that's reflective of these wells that come on so strong but also decline quite quickly. Chad, you mentioned you've got a greater than 25% annual decline rate in these wells that you've got the royalty interest. So when I kind of take that together and I - just looking at and kind of playing with my own model, it seems like without even really raising what I had in for Q3, Q4 type estimates, just putting in what you guys did this quarter, I kind of end up landing pretty darn close to kind of the midpoint of the revised guidance, which makes it seem almost as though you're not allowing for much of a contribution from these wells in this quarter to carry forward. Could this be my modeling error or whatever, but is there a certain amount of conservatism in here where you're really expecting the Haynesville wells to come down pretty quickly or pretty aggressively? Or is it some conservatism? Or do you feel like that's pretty spot on exactly where I should be in terms of guidance?
Ralph D'Amico: We try to normalize all the quarters, right, so that to try to get out of these peaks and valleys, right? And so by definition, there's a layer of conservatism embedded in that.
Donovan Schafer: Yes. And you talk about the lumpiness. And so who the heck knows, each quarter can have a lack of a better word, like a roll of the dice-ish quality. And so in theory, given that this was anomalously and then anomalously incremental step up for a single quarter, you could see some anomalous lesser number of like new wells coming on or something. And so, I get what you're saying, okay. And then I want to ask for - in the past, you guys have been impacted by companies doing recompletions, are there things where you're doing - you're shutting in some offset wells. Just curious if you have any visibility on anything like that going on? Anything to just as like a heads up to be aware of in terms of potentials for currently producing wells to be shut in for offset completions?
Danielle Mezo: No. As of yet - and I'm sorry, this is Danielle. We have not really seen a big impact from that as of late. We have actually seen some positive impact from completions of the offset, particularly in the Haynesville. So as far as shut-in wells long-term, no, we're not really seeing that at the moment.
Donovan Schafer: Okay. That's great. Great to hear. Okay. Well, congratulations on the quarter. Thank you guys. I'll take the rest of my questions offline.
Chad Stephens: Thanks, Donovan.
Ralph D'Amico: Thanks.
Operator: Thank you. There are no further questions at this time. I would now like to hand the conference over to Chad for closing comments.
Chad Stephens: Thank you, operator. And again, I'd like to thank our employees and shareholders for their continued support. I'd also like to note that Ralph and I will continue to expand our investor marketing activities over the coming weeks and months. If you would be interested in meeting at one of those events or at any time, please don't hesitate to reach out to myself, Ralph, or the folks at FNK IR. We look forward to hosting our next call in early November to discuss our third quarter 2024 results. Thank you. Have a good day.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.